Operator: Good evening, and welcome to the Amtech Systems Second Quarter 2013 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Brad Anderson, Amtech's Chief Financial Officer. Please go ahead.
Bradley C. Anderson: Good afternoon, and thank you for joining us for Amtech Systems' Second Quarter Results Conference Call. On the call today are J.S. Whang, Amtech's Executive Chairman; Fokko Pentinga, our President and Chief Executive Officer; and myself, Brad Anderson, Chief Financial Officer. After the close of trading today, Amtech released its financial results for the second quarter fiscal 2013, ending March 31. That earnings release will be posted on the company's website at amtechsystems.com. During today's call, management will make forward-looking statements. All such forward-looking statements are based on information available to us as of this date, and we assume no obligation to update any such forward-looking statements. These statements are not guarantees of future performance, and actual results could differ materially from current expectations. Among the important factors which could cause actual results to differ materially from those in the forward-looking statements are changes in the technology used by our customers and competitors; change and volatility in the demand for our products; the effect of changing worldwide political and economic conditions, including government-funded solar initiatives; capital expenditures; production levels, including those in Europe and Asia; the effect of overall market conditions, including the equity in credit markets and market acceptance risks. Other risk factors are detailed in the company's Securities and Exchange Commission filings, including its Form 10-K and Forms 10-Q. J.S. Whang, our Executive Chairman, will start our discussion today. Fokko Pentinga, our President and Chief Executive Officer, will update you on current operations, and I will then discuss second quarter financial results. So now I'll turn the call over to J.S. Whang, our Executive Chairman, to begin the discussion. J.S.?
Jong S. Whang: Thank you, Brad. As always, we appreciate your interest in Amtech and for joining us today. As our Q2 results indicate, we continue to operate under very challenging business conditions. Visibility of increased demand for line upgrades, capacity expansion and technology buying continues to be limited. We are seeing some improved capacity utilization in the solar industry, but at this time, we expect a slowdown in sales and continue through the second half of this year and into 2014. Importantly, we are staying highly engaged with all of our customers regarding their needs for near and longer term, especially their expectations for the next buying cycle. From an operational and financial perspective, our global organization is [indiscernible] focused on cash preservations. Our plan is to make very selective investment in R&D to advance our technologies to maintain our very strong market positions. And now Fokko Pentinga will provide an update on our current operations. Fokko?
Fokko Pentinga: Thank you, J.S. The overall solar demand capacity utilization and price continues to challenge our business, along with cross-border trade disputes. Investment in new capital equipment is constrained. And other than the potential of some projects we are working on, we believe it is prudent to look, at the earliest, to 2014 for a more broad-based investment in equipment upgrades, strategic capacity expansions and next generation technologies. While the market is soft in our semiconductor business, we believe the cycle is shorter than solar and expect to see some improvement in the second half of 2013. As J.S. noted, cash preservation is a primary goal of the company. [indiscernible] have again reviewed our global operations and continue the process of aligning costs to the current operation -- operating environment. The plan includes further reduction in force, further reduction in the general and administrative costs and a very careful selection process regarding allocations of dollars to research and development for the second half of 2013. As we navigate through this difficult environment, our objectives are twofold: Tightly [ph] cost control and continue to advance our technology through selective investment. In that regard, we look forward to continued collaboration with our customers and ultimately, we look forward to being very well prepared to leverage our strength and streamlined cost position when growth returns to our business. Brad will now discuss the quarter results.
Bradley C. Anderson: Thank you, Fokko. Let's review second quarter results. Net revenue for the second quarter of fiscal 2013 was $8.1 million compared to $9.4 million in the preceding quarter and $21.6 million in the second quarter of fiscal 2012. The changes reflect the continued unfavorable market conditions in the solar industry, as well as lower activity in the semiconductor portion of our business. Total customer orders in the second quarter of fiscal 2013 were $9.6 million, including $5.8 million of Solar, up from total orders of $5 million, which included $200,000 of Solar in the preceding quarter. At March 31, the company total order backlog was $14.2 million compared to total backlog of $14.7 million at December 31. Total backlog at March 31 includes $10.7 million in Solar orders and deferred revenue compared to a Solar backlog of $10.1 million at December 31. Foreign exchange caused a $400,000 decrease in backlog in the March quarter due to the weakening of the Euro versus the U.S. dollar. Backlog includes deferred revenue and customer orders that are expected to ship within the next 12 months. Gross margin in the second quarter of fiscal 2013 was 30% compared to 15% sequentially and 19% in the second quarter of fiscal 2012. The improvement in gross margin reflects a higher proportion of previously deferred profit recognized at higher gross margins. Our SG&A expenses in the second quarter of fiscal 2013 were $4 million compared to $4.3 million in the preceding quarter, decreasing primarily due to company-wide cost control initiatives. SG&A expenses decreased $2 million from $6 million in the second quarter of fiscal 2012 due primarily to lower commissions and shipping costs related to lower revenues, as well as company-wide cost controls. Our research and development expense was $1.9 million in the second quarter of fiscal 2013 compared to $1.2 million in the preceding quarter. The increase is due primarily to the recognition of a significant amount of government grant funding during the first quarter of fiscal 2013. R&D expense decreased $1.4 million from $3.3 million in the second quarter of fiscal 2012 due primarily to a decrease in development-related activities compared to the previous quarters. Depreciation and amortization in the second quarter of fiscal 2013 was $683,000 compared to $699,000 in the preceding quarter and $760,000 in the second quarter of fiscal 2012. Included in the second quarter of fiscal 2013 results is $327,000 of non-cash stock option expense compared to $433,000 in the fiscal first quarter and $437,000 in the second quarter of fiscal 2012. Income tax in the second quarter of fiscal 2013 was a benefit of $800,000, resulting in an effective tax benefit rate of approximately 23%. Total revenue by geographic region for this fiscal second quarter was the Asia Pacific region at 54%, Europe at 22% and North America at 24%. We continue to maintain a solid financial position with essentially no debt and total cash and cash equivalents of $38.8 million compared to $42.6 million at December 31. The decrease in cash is due to operating losses and continued investment in new technologies. At March 31, 2013, we had working capital of approximately $55 million. We continue to manage our operations to maintain a solid financial position. This concludes the prepared remarks section of our conference call. Operator, please open the call to questions.
Operator: [Operator Instructions] The first question comes from Jeff Osborne of Stifel.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: A couple of questions on my end. Brad, on the gross margin, can you just kind of elaborate a little bit more on the previously deferred revenue that helped out the gross margin this quarter? And why that was and any expectations for the quarters ahead?
Bradley C. Anderson: Sure. We had actually fairly good acceptance rate from customers, and basically, this is shipments that were delivered in previous quarters that then we actually were able to receive technical sign-off and installation sign-off from customers, and therefore, able to recognize the revenue related to that last 10% to 15%. So that had a -- it was a fairly large component of net revenues for this quarter. And those typically have very high margins to them, so that influenced positively for this quarter our gross margin. As we've mentioned and we said in our MD&A and the 10-Q, however, if you look at the remaining amount of deferred profit on our balance sheet, there's -- the pool is much lower than where it was, and therefore, the timing of when that comes in and the level or amount of volume of acceptances will be lower where we expect it to be lower in the coming quarters. We expect not to have that positive pickup benefit that we did in this quarter.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: Would that be more consistent with what you saw 3 months ago, with kind of the mid-teens gross margin at the current revenue run rate?
Bradley C. Anderson: It depends. Again, we did have some acceptances before. So I'm not giving necessarily a specific number, but definitely we would not expect to see these kind of margins going forward. I think you look more towards historical results.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then J.S. mentioned at the start that the engagement with customers continues and you're there to support them, which is understandable. I just want to maybe get a peek under the hood here, what is the types of discussions you're having? I mean, clearly, there's capital issues in the sector and there's overcapacity, which is obvious. But what's the level of engagement around looking at next-generation technologies, in particular, PECVD and ion implant?
Jong S. Whang: While the industry is going through very tough down cycles, but there are customers that looking ahead and engaging with us for next-generation technologies, while timing of spending for technology buying is not certain yet. So that encourages us to continue to [indiscernible] our strategic technology item and engaging with the customers. So we are looking for improvement in the marketplace as to the supply and demand becoming equilibrium at some point, and then looking forward, the technology buying cycles.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: That's great. Maybe, Fokko, any -- 2 more from me. Any thoughts on the feedback that you received from the alpha and beta units on the ion implant side? Are you guys making improvements to that or is that one of the areas of R&D that maybe gets shelved for now and then you reintroduce the product at a later date?
Fokko Pentinga: The development of process is, of course, always a continued thing. And it's not just the ion implant itself. It's -- a very important factor is tuning a complete line, that means the implant in Neo and metallization. So that's an ongoing thing which doesn't go with terms of 0.5% [ph], it's a few little pieces here and there. So the tuning of the total line is something that is a continued process. And it is not being shelved, it is a continuous activity. And still goes vis-à-vis according to plan. So it's just that, as we all know, the industry is not so much in a buying mood. And that, of course, does not help in getting systems into a large volume production. But the processes we're running now, they look quite well.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: Excellent. Great to hear. And the last question, is there any discussion with the trade wars in the EU about potentially building new factories outside of China to circumvent the potential rule changes that would take effect next month? Is that any discussion that you're having or, at this point, is everybody still kind of frozen with the situation in the broader market and some of the capital constraints?
Fokko Pentinga: Well, you see, the -- everybody is waiting at least for a decision and -- because whatever the decision is, they can respond to that. And, of course, customers have not waited with some plans before the decision's made. But I would expect that in the next few months, they will be more active and some of them may be executing that. Then again, this -- the ruling is not there yet. It is a proposal of the commissioner and each of the countries still needs to say a word about it, although the chance is very high that it will pass. Still then, it's also a preliminary one. The definite one is by the end of the year, December. I think it's almost -- would have almost been better if it would be directly clear what it is. But still, I think activities will really wait until at least this first ruling in June is fixed, and everybody's waiting for that.
Operator: [Operator Instructions] The next question comes from Gordon Johnson of Axiom Capital.
Gordon Johnson: I guess just my first question is with respect to your cash flow. Given you have some benefit this quarter from deferred revenues, should we expect a more Draconian shift in cash flow in the out quarters? Or how should we think about that?
Bradley C. Anderson: Sure. The benefit from those acceptances, at least in this quarter, was primarily P&L-driven. We haven't seen the collection of those receivables yet. That will still come in, in future quarters. But if you just try to do a P&L burn, from that standpoint, like I mentioned in the -- with the earlier call, the margins we don't expect to be as healthy as they were in this quarter. We should look more towards the historical quarters from a gross margin standpoint.
Gordon Johnson: Okay, that's helpful. And when I look at your book-to-bill ratio this quarter, it's up significantly, as well as what looks like the difference between your order book and your backlogs. Should we expect that number to continue going higher? And can you give us kind of the puts and takes around what drove that number?
Bradley C. Anderson: Sure. Well, when you have really low shipments, it makes your bookings -- your book-to-bill easier to get above 1, right? So I would -- yes, so you've got to look at both numerator and denominators. But as we -- I think we've said this in the past, that from time to time, there are what maybe we've called a weigh [ph] system, this Sahara desert that we're going through. And from time to time, you get an order. We announced this order. Back, I think, during the quarter, we announced one large order coming in. And so from time to time, there'll be these opportunities. But not -- but there's still a lot of haziness in being able to look out for a general upturn, which is why we're -- the shared kind of cautious -- cautionary language as it relates to when there might be more broad-based type of improvement in the bookings.
Gordon Johnson: Right. And then when I look at your semi orders, they're pretty stable here. Actually up, but stable nonetheless. But when I look at your Solar orders, clearly, there was a significant hike this quarter. Is that kind of what you just described, like a one-time type of phenomenon? Or should we expect kind of the $5.8 million run rate through the remainder of this year?
Bradley C. Anderson: Yes. I don't -- I'm not sure I'd call it one-time. But again, from time to time, you're going to get some opportunities. And I think that's what we see happening. I would never, I wouldn't take anything that happens quarter-to-quarter and try to annualize it. Right now, the market's just too much of uncertainty right now. But there are some opportunities that we continue to look at, and from time to time, hopefully, they'll materialize for us.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Brad Anderson for any closing remarks.
Bradley C. Anderson: Thank you, Andrew. Thank you for your time today and for your interest in Amtech. I will be available for any additional questions you may have and welcome your follow-up calls. This concludes today's call. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your line.